Operator: Good day, everyone, and welcome to the Carpenter Technology Corporation First Quarter Fiscal 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please do note that today's event is being recorded. I would now like to turn the conference over to Brad Edwards of Investor Relations. Please go ahead, sir.
Brad Edwards: Thank you, operator. Good morning, everyone, and welcome to Carpenter's Earnings Conference Call for the First Quarter ended September 30, 2017. This call is also being broadcast over the Internet, along with presentation slides. Please note, for those of you listening by phone, you may experience a time delay in slide movement. Speakers on the call today are Tony Thene, President and Chief Executive Officer; and Damon Audia, Senior Vice President and Chief Financial Officer. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from those forward-looking statements can be found in Carpenter's most recent SEC filings, including the company's report on Form 10-K for the year ended June 30, 2017, and the exhibits attached to that filing. Please also note that in the following discussion, unless otherwise noted, when management discusses sales or revenue, that reference excludes surcharge. When discussing operating income, that reference excludes pensions, earnings, interest and deferrals or EID and special items. When referring to operating margins, that is based on sales excluding surcharge, and operating income excluding pension, EID and special items. I will now turn the call over to Tony.
Tony Thene: Thank you, Brad, and good morning to everyone. As always, I will begin with a review of our safety performance on Slide 4. In the quarter, our total case incident rate, or TCIR, improved significantly to 1.2. This improvement has been supported by our investment in leadership development programs that touch every supervisor across Carpenter, giving them valuable skills to work with their team members as well as ongoing training in human performance, management principles for all employees. In addition, we continue to increase the intensity and frequency of employee engagement activities such as hand safe, ergonomic and communication teams across the company. The TCIR improvement in the first quarter of fiscal year 2018 is encouraging, but the level of engagement must increase even further as we drive to our ultimate goal of a 0 injury workplace. Turning to Slide 5, and a summary of our first quarter performance. Our first quarter results represent a solid start to fiscal year 2018. Our strategy, values and vision were evident in our performance. While our first quarter results reflect a typical seasonal decline on a sequential basis, the decline was much less than the historical trend. Our Carpenter Operating Model and our new commercial approach continue to produce sustainable improvements in our results, as this quarter marks the best fiscal first quarter in four years. With that said we know we have not reached our full potential and remain committed to fulfilling that potential and strengthening our position as an irreplaceable partner in the supply chain. Let me mention a few first quarter highlights. In our largest end-use market, Aerospace and Defense, we delivered another strong quarter. As I just stated, our first quarter is historically down versus our fourth quarter due to seasonality. Over the last four years, the average decline from Q4 to Q1 in this market has been 17%. That said, our current quarter sequential revenue was down only 7%. And on a year-over-year basis, our Aerospace and Defense revenue is up 24%. In addition, our Aerospace and Defense market backlog is up 6% sequentially, a fifth consecutive quarter of sequential growth, and up 43% year-over-year. We remain cautiously optimistic on oil and gas. Rental activity at our Amega West business was – we believe is an encouraging sign of increasing oil and gas activity levels in North America continues to increase, up 7% sequentially and 110% year-over-year. Looking at our business segments. We are driving improved performance and each continues to reach notable milestones. SAO had a strong quarter as a richer product mix and the Carpenter Operating Model continued to drive meaningful year-over-year margin expansion. SAO operating margin was 15.5%. That is the highest mark for a first quarter since fiscal year 2014. In PEP, operating income was positive for the fourth consecutive quarter, driven by improving performance from our Dynamet and Amega West businesses, despite the negative impact from the recent hurricanes. Fortunately, none of our employees were injured during the storms and there was no severe damage to any of our facilities. Our Amega West business has reached an important milestone this quarter as it returned to operating profitability for the first time in almost three years. This speaks to the impact of our actions to not only reduce cost, but also position this business closer to customers, which is allowing us to win market share. The Carpenter Operating Model is delivering tangible value across our SAO and PEP businesses. The model is gaining further traction at our facilities and is delivering additional cost reductions, driving improved productivity and reduced waste as well as unlocking incremental capacity. We are also executing well on the commercial front. Our total SAO backlog increased 51% year-over-year and 3% sequentially during the first quarter, as we continue to increase our market share and unlock new opportunities across all end-use markets. Customers are finding real value in developing shared technology road maps and prioritizing strategic initiatives that utilize our unique solutions to solve their challenges. From an operational perspective, utilization levels at Athens, at approximately 40% currently, continue to increase as we shift production of select products from our other mills. And we recently received our final OEM oil and gas qualification giving us access to the majority of the drilling and completions market. With respect to the aerospace VAP approvals for Athens, we remain on schedule to submit to OEMs by the end of calendar year 2017. Lastly, our solid financial position with no major near-term obligation is a true strategic and competitive advantage and will allow us to allocate capital to building out our capabilities in several strategic growth areas. Let's move to Slide 6, and the end-use market update. Starting with Aerospace and Defense, where sales ex-surcharge were up 24% on a year-over-year basis, but down 7% sequentially, reflecting some seasonality. In the engine submarket, while sales were down on a sequential basis, we were able to mute the seasonal impact given the strong demand related to the new engine platform. On a year-over-year basis, engine revenues were up 24%. We remain enthusiastic about the new engine platform ramp given our broad participation, and we expect to continue seeing solid demand moving forward. Our fastener submarket was also down sequentially, but was up compared to first quarter of last year. As we've stated in the past, visibility in the fastener submarket remains challenging. While market conditions appear to show signs of improvement and fastener demand was increasing, entering the first quarter we began to see overall demand patterns moderate. Despite the near-term headwind, the fastener submarket remains attractive for us given our market leadership and product portfolio that spans titanium, nickel and stainless. Our aerospace structural and distribution submarkets continue to be driven by the timing of program-specific demand. We continue to see positive signs in the channel related to this fiscal year. The aircraft backlog at the major OEMs and the benefit of our solutions are some of the reasons we are excited about our long-term growth potential in this market. Lastly, revenues in our defense submarket increased both sequentially and year-over-year due to program-specific demand. Now moving to the energy market, which includes our oil and gas and power generation submarkets. Energy sales declined 17% on a sequential basis. The sequential decline reflects the fact that we divested an oil and gas distribution business late in the fourth quarter of fiscal year 2017. On a year-over-year basis, energy sales were up 12% due to higher rental and replacement activity in North America, offset by lower power generation sales. Sales in our oil and gas submarket were up 64% year-over-year. North American directional and horizontal rig count was up 98% year-over-year, and we continue to see increases in drilling and completion activity. As a result, we are seeing further increases in rental and replacement activity at Amega West, given our strong presence in the Permian Basin coupled with our successful efforts to expand our market share during the downturn. Looking outside of North America, the international and offshore markets remain at generally depressed levels from a drilling activity as well as capital spending standpoint. Sales in the power generation submarket were down both sequentially as well as year-over-year. Order patterns in this market can be volatile and nonlinear. The market is also working through the impact of the elongated replacement cycle in industrial gas turbines that is impacting order timing for us and others in the industry. Transportation sales were down 5% on a sequential basis, primarily due to the annual summer shutdown at the OEM. Year-over-year, revenue for transportation was flat as we largely offset lower activity in the North America light vehicle market by expanding our market share overseas. We also grew our heavy-duty truck sales as the cyclical recovery in that market continues. Downside pressure remains in the North American light vehicle market, and we are responding by building our market share overseas in attractive regions including Europe and China. We've made solid progress to date, which I believe speaks to the transportation market being an attractive one for Carpenter, given our high strength alloys and the heat, corrosion resistance and light weighting benefits they provide OEMs. We have also grown our market share in the heavy-duty truck segment as well, leveraging our solutions portfolio and the value we can bring to the transportation market. It will remain a key priority as we look to help customers continue navigating a world of increasingly stringent requirements. In the medical market, sales were down sequentially, but showed strong year-over-year growth as we continue experiencing high levels of demand for our titanium products and improving conditions at the distributor level. We successfully reduced our lead times in our Dynamet facility because of the early application of the Carpenter Operating Model, which has allowed us to better serve customers and grow market share. We also continue to make progress building direct OEM relationships in the medical space, which is creating new customer and product opportunities. In the industrial and consumer end-use market, sales were down 5% sequentially reflecting some seasonality, but were up 21% compared to the first quarter of fiscal 2017. The year-over-year increase was driven by higher industrial sales across multiple submarkets as well as an increased demand from the consumer electronics market. Now I'll turn it over to Damon for the financial review.
Damon Audia: Thank you, Tony. Good morning, everyone. Turning to Slide 8, and the income statement summary. As Tony mentioned, our first quarter results mark a very strong start to fiscal year 2018. Consistent execution of our commercial and manufacturing strategies, coupled with improved market conditions, drove our best Q1 operating performance in four years. Net sales in the first quarter were $480 million or $410 million excluding surcharge. Sales excluding surcharge decreased by 7% on a sequential basis on 3% lower volume due to the regular seasonality of our business. Historically, we tend to see a seasonal effect in our first quarter sales relative to the preceding fourth quarter performance, which is generally our strongest quarter. However, I think it's worth noting that both the declines in sales ex-surcharge, and volumes in our recent Q1 were noticeably less than we have historically experienced during previous fiscal first quarters. This demonstrates the positive impact of our solutions-focused commercial approach coupled with the strengthening conditions across most of our markets. On a year-over-year basis, net sales excluding surcharge increased $70 million or 21% on 17% higher volume. Sales increased across most of our end-use markets, including 24% growth in Aerospace and Defense end-use market and 45% growth in the medical end-use market. SG&A expenses declined by $1 million on a sequential basis and were effectively in line with our expectations at $44 million. Going forward, we continue to expect our SG&A expense to be in the range of $45 million to $47 million per quarter in fiscal year 2018. Operating income as a percent of sales was 10.3% in the quarter when excluding pension, EID and special items. This was down as expected on a sequential basis compared to the 12.2% in the fourth quarter due to lower sequential volume, but up significantly compared to 2.6% in the first quarter of last year. Again, a result of higher volumes and improved mix. Overall, the results reflect an improving product mix as a result of execution of our commercial team's solution-focused approach, improvement in market conditions combined with further operating cost improvements driven by the ongoing implementation of the Carpenter Operating Model and the impact it's having at both SOA and PEP that I will touch on in a moment. Our effective tax rate for the first quarter was 33.5% compared to 33.1% in the fourth quarter and negative 17% in last year's first fiscal quarter. We continue to expect our effective tax rate to be in the range of 32% to 34% for fiscal year 2018. We reported net income of $23.4 million in the first quarter or $0.49 per share, which represents a very solid execution both sequentially and year-over-year. Now turning to Slide 9. Free cash flow in the first quarter was negative $45 million compared to positive $64 million in the fourth quarter of fiscal year 2017. As you know, the fourth quarter is generally our strongest quarter for free cash flow generation, and we traditionally build working capital during the first quarter. With that said, the decline in free cash flow in the current quarter was in line with our expectations. More specifically, we increased inventory by $46 million during the current quarter as we aligned inventory levels with the stronger demand patterns we are seeing across our markets in our increasing backlog. We continue to expect to reduce inventory in the range of $30 million to $50 million on a full year basis during fiscal year 2018. For the quarter, we spent $29 million on capital expenditures, similar to the $27 million spent in first quarter of fiscal year 2017, and we remain on track for our guidance of approximately $120 million in capital expenditures for fiscal year '18. Our liquidity position remains strong. As of September 30, we have $416 million of total liquidity, including $25 million of cash and $391 million of availability under our credit facility. As Tony mentioned, we remain well positioned with the strength of our balance sheet. Our major debt obligations mature in fiscal years 2022 and 2023, and there are no meaningful pension contributions for the next several fiscal years. Now turning to Slide 10 and our SAO segment results. Net sales excluding surcharge were $326 million, which was down $20 million or 6% on a sequential basis. On a year-over-year basis, net sales excluding surcharge were up $60 million or 22%. As I mentioned earlier, the sequential decrease in sales reflects the normal seasonality that was partially muted by the strong demand patterns we are seeing across our markets and the value our solution-focused commercial approach is bringing to our customers. On a year-over-year basis, the 22% increase in sales on 17% higher volume reflects stronger demand levels across most of our end-use markets coupled with a richer product mix. Operating income was $50.5 million in the first quarter, which was down $9 million sequentially, but up $26 million compared to the prior year first quarter. This was the best first quarter operating income performance for SAO since the first quarter of fiscal year 2014. Operating margin was 15.5%. Again, down sequentially, but up year-over-year due to stronger mix from our solutions-focused steady execution of continued cost improvements across our facilities from the Carpenter Operating Model. We continuously look for ways to increase our output in constrained parts of our facilities by eliminating redundancies, waste and non-standard practices. For example, on one of our presses, we formulated a plan to maximize press operations per day through scheduling modules and by increasing uptime and minimizing waste and inefficiencies. Our efforts resulted in a 7% increase in press output, which was one of the many contributors to the strong SAO performance in the quarter. Turning to the outlook for SAO. As we look at Q2, we continue to see positive demand trends across most of our end-use markets as our realigned commercial team continues to drive backlog growth. We currently expect operating income to increase up to 5% on a sequential basis. This outlook continues to reinforce the execution of our strategy, and we delivered our best second quarter in four years. Now turning to Slide 11, and the PEP segment overview. On a year-over-year basis, PEP sales increased 28% or $22 million to $101 million due to strong demand for our titanium products as well as higher oil and gas related sales, driven mainly by further increases in rental activity in our Amega West business. On a sequential basis, sales declined approximately $5 million, due primarily to the elimination of sales from a business that we divested late in the fourth quarter of fiscal year 2017 as well as the impact of the recent hurricanes that affected our operations in Texas and Florida. Fortunately, as Tony highlighted, these natural disasters caused only short-term disruptions to our operations and are not expected to have any long-term impact on our results. Based on the production schedules and the number of days lost at our facilities, we estimate the impact of the natural disasters was almost a $1 million reduction in operating income in the first quarter of fiscal year 2018. Despite this headwind, our Amega West oil and gas business achieved a notable milestone as it delivered its first profitable quarter since the second quarter of 2015. As we've discussed on prior calls, we've been hard at work managing our cost, while also staying close to the customer and laying the groundwork for market share gains as activity levels improve. Our Dynamet business continues to generate strong demand for our titanium products, particularly in the medical end-use market. We've been able to capitalize on certain opportunities to grow sales largely as a result of the benefits of our Carpenter Operating Model, unlocking incremental capacity and helping better deliver on our customers' expectations. The Carpenter Operating Model is also having an impact on our cost base. In our Florida operations, we conducted operational analysis studies aimed at increasing our competitiveness. With the implementation of hour by hour boards, daily management and problem-solving the root cause, we drove significant improvements in throughput and first time quality. As a result, we've reduced our cost of quality there by 20%. It's these types of benefits, whether they are cost reductions or productivity enhancements that the Carpenter Operating Model is delivering in helping our commercial team win in the market. Looking at Q2, we currently expect our PEP segment to generate 20% to 25% sequential growth in operating income given the continued strong demand for our titanium products, further improvement at Amega West as well as additional operating cost improvement. In summary, the continued execution of our commercial and manufacturing strategies is resulting in strong operating performance and financial results. We are operating with a disciplined approach to manufacturing that is delivering cost improvements and capacity gains, while also pursuing a commercial strategy that best leverages our solutions portfolio and our extensive metallurgical expertise. Now I'll turn the call back over to Tony.
Tony Thene: Thanks, Damon. On our last earnings call, I spoke about our successes at the Paris Air Show. The exciting future of additive manufacturing or AM, and the significant impact we believe it will have on our end-use markets over the long term. AM remains a strategic focus as we continue expanding our relationships with customers and collaborate with them to address their future growth opportunities as well as helping their products reach the next level of performance, whether it's higher strength to weight ratios, longer duty cycles, corrosion resistance or general design flexibility. There are many published growth projections for the AM market, including an Ernst & Young 2016 study that points to a 42% compound annual growth rate with a $1.6 billion opportunity by 2020. While growth projections vary from study to study, most point to robust market expansion potential and increasing adoption of additive manufacturing in the years and decades ahead, especially in the Aerospace and Defense, Transportation and medical market. In fact, AM solutions for key applications are a major focus of new joint initiatives with customers across each of our end-use markets, especially the ones that realize the disruptive potential of AM and how it could fundamentally transform their industry. In aerospace, AM is aligned with several key industry trends, including light weighting and fuel efficiency. There are a number of AM components being used in engines today, including the GE fuel nozzle for which Carpenter currently supplies the powder. Drilling operators in the energy market are increasingly focused on rig efficiency and lowering their cost per barrel. Given the steady increases in lateral feet drilled and the more corrosive and challenging environment they are drilling through, operators are beginning to look at AM component as a potential solution to tailor and strengthen their down hole application. Today, AM is most advanced in the medical market as design flexibility and customization in medical devices and implants are expected to help improve patient outcome. In Transportation, there is also significant potential for AM to accomplish light weighting and enhanced design capabilities to OEMs. In other examples across industrial markets, there are opportunities for AM to deliver weight savings, improve machinability for tools as well as reduce die wear. It's clear that AM will significantly change solution and application needs across our end-use markets. And we are moving fast to build a leadership position by leveraging our existing product capabilities, history of innovation and 128 years of high performance metals processing expertise. While AM presents a significant opportunity for our industry and for our customers, many challenges to broader commercialization exist. Today, those in the AM space, are working to solve powder flowability, understand what the final part properties will be, improve process control as well as determine if existing feedstock or new alloy development will ensure the best results. We have expertise in mission-critical applications, and today, are engineering unique additive manufacturing grade powder and wire feedstock. As I've mentioned, we are already a supplier of AM feedstock for critical 3D printed parts including aerospace fuel nozzle, rocket thrust chambers and medical implants, just to name a few. We believe we can provide meaningful value to customers as a leading solutions provider with extensive metallurgical expertise and the understanding of how the material characteristics of a metal change during the additive manufacturing process. We continue to strengthen our capability and value proposition to our customers. For example, we formed a partnership with Burloak Technologies, a leading 3D printing application design company. Together, we believe we can deliver leading solutions to customers from concept, through design and manufacturing. We also have begun plans to build an additive manufacturing design center and have formed an experienced business team that will spearhead our continued push into AM. Now let's turn to Slide 14, and my closing comments. We're off to a solid start in fiscal year 2018 with our first quarter results, representing our best in four years. The results demonstrate our high level of execution and the impact our strategic plan is having on our operational and financial performance. Conditions across our end-use markets are showing improvement and our commercial group is capitalizing on this momentum, driving the rate and quality of bookings, gaining market share and opening attractive, new customer opportunities. Our goal of becoming a critical supply chain partner and solutions provider is gaining traction. And our collaboration initiatives with solutions-oriented customers have never been more exciting. We are benefiting from the diversity of our product portfolio, including in Aerospace and Defense market, where the new engine platform ramp and our leadership positions across other submarkets is driving growth. The recovery in the energy market remains limited in its early stages. But performance at Amega West continues to improve as rental activity levels are increasing. The Carpenter Operating Model is changing how we think, work and produce at every one of our facilities. We are working to further reduce cost, drive productivity gains and unlock incremental capacity. While the benefit of the Carpenter Operating Model are currently helping drive margin expansion, we believe there are additional opportunities and have much more work to do. Additive manufacturing is expected to have a transformational impact on our industry as well as on customers across our end-use market. We are moving quickly and thoughtfully to leverage our existing powder and wire capabilities as well as our metallurgical expertise to build a leadership position in this market. We will continue to strategically invest in poor growth areas, including AM, as we look to continue evolving as a solutions provider for our customers and further build our foundation for long-term sustainable growth. Let me close by saying, our results for this quarter reflect the progress we have made with our transformation. Although the accomplishments to date are noteworthy, we are far from done and are excited about continuing the path to unlocking our potential and fulfilling our vision to be the preferred solutions provider in specialty metal with a reputation for 0 injuries, unquestionable quality, intimate customer connections, innovative growth, creative technology and engaged talent. Thank you for your attention. And I'll turn it back to the operator to field your questions.
Operator: [Operator Instructions] And the first questioner today will be Chris Olin with Longbow Research. Please go ahead.
Chris Olin: Hi, good morning.
Tony Thene: Good morning Chris.
Chris Olin: Wanted to start with the guidance on the SAO segment, you suggested a 5% increase in the operating income quarter-to-quarter, so you're talking about $2 million to $3 million on top of what we saw here. I'm wondering what type of revenue we should assume in that number, and is there any outstanding cost items in there that could affect the margins?
Damon Audia: Yes. I think, Chris – so you're correct on your numbers there. I would say, the revenue – again, look at the margins that we're generating for SAO and you can sort of – relatively similar sort of margins slightly improving as the operating model continues to generate cost improvements and it gives you sort of the back end to – really the back up into the revenue there. No significant cost issues that are noteworthy between Q1 and Q2 that I would point you to.
Chris Olin: Okay, thanks. Is the impact from Athens consistent with your previous guidance of like the $10 million per quarter? And how should we start to think about that over the next quarters, now that you've got these energy qualifications in place?
Damon Audia: Yes. Chris, I think as Tony mentioned on his scripted remarks, the utilization rate has gone up to just around 40%. We are starting to see and Tony may want to elaborate on some of the wins that we're seeing incoming from Athens here. So as we move up to that 40%, you can assume a part of that is starting to become an incremental value add to Carpenter, reducing our cost base here or reducing that $40 million in annual cost drag that we've been dealing with here.
Tony Thene: Hi, Chris, this is Tony. Several quarters ago, we were probably at that $10 million a month with utilization increasing. That's probably decreased by $1 million to $1.5 million possibly.
Chris Olin: Okay, thanks. I will get back into queue.
Operator: And our next questioner today will be Gautam Khanna with Cowen & Company. Please go ahead.
Gautam Khanna: Thanks. Good morning. Tony, I was wondering if you gave some color on the Carpenter Operating System and the improvements you've made, I was wondering if you could talk about when you set out on this journey a couple of years ago, you had talked about getting to the root cause and that there was a lot of work to do. How far along do you think you are in that evolution? And maybe in a nine inning baseball analogy, what inning are we in? And how do you see that being expressed as we move forward? Could we see margins kind of surpass that 20% in this cycle at SAO? Any comments you can give around that.
Tony Thene: Yes. Good morning, Gautam. I would say that we're in the early innings of this journey, which is good news for Carpenter shareholders I believe, because it says we have a tremendous amount of potential out in front of us. I think in the first year, our variable cost was down 5% to 6%. Last year, we were in that 3% range. We've committed that we're always going to be 3% year-over-year. I can see years going forward where we could increase that quite a bit. So when we visit the plants, it's more than just reducing the cost, it's about unlocking the capacity. Because as you know, in many markets, not just aerospace, but across some of the medical markets and others, there is capacity constraints in the ability to implement the operating model and unlock some of that is of great value.
Operator: [Operator Instructions] And our next questioner will be Josh Sullivan with Seaport Global. Please go ahead.
Josh Sullivan: Hi, good morning.
Tony Thene: Good morning Josh.
Josh Sullivan: With the new energy qualification, is there any way to quantify the new opportunity set maybe on a total addressable market basis?
Damon Audia : Sorry, Josh, could you repeat the question?
Josh Sullivan: Sorry, about that. Did you – you mentioned some new qualifications in the energy market. Is there any way to quantify what that opportunity set is or what that market looks like?
Tony Thene: Josh, sorry about that. We have a little bit of background noise here. By getting that additional qualification at Athens that opens up a whole spectrum of business to us, because a lot of that material is sold through distributors and they don't want to really take on that material unless they have qualifications across all of our customers. It adjust allows them not to have that [derogate], et cetera. So picking up that last qualification was a significant issue for us. Now the market will decide how quickly that comes. But I can tell you that at Athens, going forward, we perceive that to be a significant oil and gas facility, primarily because the lead times we can have there are significantly lower than our customer can get anywhere else, because of the efficient flow that we have at that plant.
Josh Sullivan: Okay, great. And I guess, just on that lead time, is there any way to quantify how that looks this quarter versus maybe previous quarter? I understand that the seasonality might – it might not be a perfect comp, but how...?
Tony Thene: Well, maybe I just think about – I'll think about Athens in total, if you look from an aerospace standpoint, just in general, I would say on current standards that lead times out of Athens could be 4x different. The current standard could be 4x more than what Athens can provide. And on the oil and gas industry, you could be in that 4 to 5-week range, which is pretty significant.
Josh Sullivan: Okay, great. And then I guess, you spent some time on the AM market there. I mean, is there something that's happening that's causing you to be a little more excited about it from a customer perspective? Or are you guys just getting ahead of the market?
Tony Thene: On the energy – the energy market?
Josh Sullivan: So on the additive manufacturing market.
Tony Thene: I just think it's important always for us to talk about in each one of our calls what we see out there in the future. I think for Carpenter to be the best company we can be, it's got to be outside of the traditional growth zones. We have a long history of being a power producer as well as a rock producer, so those two together, I think, puts us in a very unique position to supply value going forward. We've had quite a few discussions with all of our customers around AM and how we can help them, so I think it's just important to let folks know what we're doing there.
Josh Sullivan: And then just one last one on the fastener demand cycle, any thoughts on the recent weakness? Boeing taking up the 787 production rate? Is it just too early to see the demand for titanium fasteners?
Tony Thene: Well, as you know, the fastener market is rather volatile. What I think is important for Carpenter is we continue to get better in terms of our cost control improvements in markets across all the ones we serve, market share gains, technology road maps, that the quarter-to-quarter variability in fasteners is really not material like it used to be to Carpenter. So fasteners can be up a bit. They can be down a bit. It's not going to impact the overall quarter-over-quarter improvement that Carpenter is going to be able to sustain going forward.
Josh Sullivan: Great, thanks. I will get back in queue.
Operator: And our next questioner today will be Phil Gibbs with KeyBanc Capital. Please go ahead.
Phil Gibbs: Hi, good morning.
Tony Thene: Good morning Phil.
Tony Thene: How are you?
Tony Thene: Great.
Phil Gibbs: Had a question on the aerospace supply chain. It looked like your revs there were up. I think base revs were up about 24% year-on-year, just curious if you could break that out between engine and non-engine sales?
Tony Thene: Would you repeat that, Phil?
Phil Gibbs: I just thought your base aero sales look to be up about 24% versus last year. I was curious if you could break that out versus engine and non-engine?
Tony Thene: Yes, I think, I said engine was up 24% as well. Just by coincidence, the total aerospace and engine were both up 24%.
Phil Gibbs: Okay. So pretty consistent growth then across the board then is what you're indicating?
Tony Thene: Well, engines are about 40% to 50% of our total aerospace market. If you look, fasteners were down. I think fasteners were 10% to 15% up sequentially. Our disruption market was up quite a bit, so that gives you the total of about 24%.
Phil Gibbs: Oh, I was just – is the 24% relative to last year, Tony? Is that what we're talking about here?
Tony Thene: Yes, sorry, sorry, it's year-over-year. Correct.
Phil Gibbs: Okay. And then a question also on the VAP approval on the aerospace side, I apologize if I missed it, but you're getting some final specs into customers this year to sort of set the table for final qualifications in '18. And so this will be more of a kind of ending the qualification process in '18?
Tony Thene: Yes, let me kind of expand a bit on that question, because I think it's an important point with the whole aerospace supply chain and how Athens plays in. If you take a look now just at this – the magnitude of this engine ramp-up and the numerous suppliers that are involved, and you would stand a reason that there's going to be significant pinch points across this complicated supply chain. And I think it's important to say and the critical products that Carpenter provides over the last couple of quarters, we've been asked multiple times to step up where there has been supply chain disruption. And based on our capabilities and our capacity, we've been able to deliver to our customers. As we said earlier, you also see lead times on these products extending, in some cases, quite a bit. So if you remember on the last earnings call I said, if you take a look at this current scenario, increased aerospace demand, a very tight supply, those are really two of the primary reasons that Carpenter made the decision to build Athens quite some time ago. So in this particular environment, we've begun to win orders directly due to the capabilities we have in Athens such as the attractive lead times that I've talked about compared to the industry standard. And I expect that momentum to continue as we see – as we receive more approvals. Now to your specific question, we do remain on schedule to submit those qualification packages to the OEMs by the end of this calendar year. I think it's important to say that in some cases, we're currently working very closely with the OEM to expedite that qualification process and other OEMs are becoming much more aware of the critical role that Athens will play going forward in this stressed supply chain.
Phil Gibbs: Tony, I was just trying to get a gauge of whether or not we should think that a lot of the qualifications will take place over the course of the next, call it, 12 months. And so the Athens utilizations will have taken a step here, but they'll take another step up in '19. Is that the way I should think about it?
Tony Thene: Yes, I just want to make sure, Phil, did you hear the last part of the comment I made previously?
Phil Gibbs: Yes.
Tony Thene: Yes, I think that's a big key when you say how quickly will the next step go. I think that's the point I was trying to make is that, we're working closely with some OEMs right now to expedite that qualification process. And the point that as this supply chains becomes tighter and tighter, I think other OEMs are going to see the criticality of Athens, and you're going to see that qualification process accelerate where it could go possibly to the normal timing that you would see.
Phil Gibbs: Okay, very good. My last one here, if I could squeeze it in is just, you said you are on track with the inventory reduction targets. I was just curious in terms of what the cadence you see as you move into the second quarter and then also into the back half? Thank you.
Damon Audia: Yes, I think, Phil, for us, say, we were up 46 in the first quarter. I think what you'll see is a sort of flat to modest build in the second quarter here. And then you'll see that decline coming back into Q3 and strongly in Q4 as we would have – as those are our two stronger sell out seasons.
Phil Gibbs: Thanks everyone.
Operator: [Operator Instructions] And our next question will be a follow-up from Gautam Khanna with Cowen & Company. Please go ahead.
Gautam Khanna: Yes, thanks for the follow up. Well, two questions really. One, I was wondering can you frame for us the level of industrial gas turbine sales as a percentage of the company total maybe off of the fiscal '17 revenue base?
Tony Thene: I can answer that for you, it's about 1% of our total net sales.
Gautam Khanna: Okay, so it's small.
Damon Audia: Yes.
Gautam Khanna: I wanted to ask anyway, as we think about the engine ramp and contract renewals over the next couple of years, is there – do you feel like Carpenter is still in a good position? Or are you disadvantaged in any way by the lack of downstream integration? You're not – you sell to the forgers, you don't control the forging operations, unlike ATI, unlike Precision Castparts, parts of Arconic. Does that disadvantage you guys in any way, as you talk about additives, as you talk about contracts renewals with the OEMs?
Tony Thene: I can say that, if you remember the last quarter I talked about some of the many commercial wins that we've had. And I can tell you, as I visit customers, I have not heard that one time that they think it's a disadvantage that we don't have it. Not once.
Gautam Khanna: Okay. And lastly, Tony, you mentioned some emergent demand, you were able to fill some spot demand as some of the subcontractors in the supply chain are delivering. Any way you can size for us how much of the 24% growth in the quarter – year-over-year was maybe related to that on the aerospace side?
Tony Thene: Yes, it's the minority. I mean, the majority of that growth is because just to the inherent growth in the new engines. But those are significant opportunities for us to continue to strengthen our relationship with those customers when we're able to step up and meet that demand.
Gautam Khanna: I guess, what I'm – I just want to make sure I don't overestimate sales going forward. Was it – could we expect a step down? Or is it sort of going to be indecipherable in result as we move forward?
Tony Thene: I think it's going to – I don't think that us stepping in for individuals – for customers when needed is going to be the major driver between quarter-over-quarter volatility.
Gautam Khanna: Okay. Thanks a lot guys. I appreciate it.
Operator: And our next questioner will be Jeremy Kliewer with Deutsche Bank. Please go ahead.
Jeremy Kliewer: Good morning.
Tony Thene: Good morning.
Jeremy Kliewer: I was just wondering on the roughly $1 million incremental PEP segment EBIT, how much of that is the kind of the bounce back recovery of the $1 million lost during first quarter?
Damon Audia: Yes, Jeremy, what I would tell you is the $1 million or so that we lost related to the impacts from the hurricane is really not recoverable. That was just lost production in our facilities where effectively had capacity constraints there. So the upside that we're seeing, the 20% to 25%, is really just the organic growth opportunities that we're seeing. The percents are large because it's coming off of a sort of an artificially lower base here given that hurricane, but it's not a recovery of that $1 million.
Jeremy Kliewer: And then also on your end market demand, when is that kind of year-over-year growth rates, when do you expect those to flatten out or kind of dissipate because there are significant increases in most of your end markets?
Tony Thene: Well, I think on the aerospace side, this is going to be over the next three to five years. I think you're going to see significant growth. Just look at the engine ramp-up that's being published. On the other markets, we're aggressively going after new applications, and we have capacity now coming online at Athens that allows us to do that. So we anticipate growing as we go forward.
Jeremy Kliewer: Thank you.
Operator: And this will conclude the question-and-answer session. I would now like to turn the conference back over to Brad Edwards for his closing remarks.
Brad Edwards: Thanks, William, and thanks, everyone, for joining us today for our first quarter call. We look forward to connecting with you all again on our second quarter conference call. Thanks. Have a great day.
Operator: And the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.